Operator: Good morning, ladies and gentlemen, and welcome to the Air Liquide Full Year 2025 Revenue Conference Call. [Operator Instructions] I will now hand over to the Air Liquide team. Please begin your meeting, and I will be standing by.
Aude Rodriguez: Thank you, and good morning, everyone. This is Aude Rodriguez, the Head of Investor Relations. Thank you very much for attending the call today. Francois Jackow and Jerome Pelletan will present the performance of the full year 2025. For the Q&A session, they will be joined by Emilie Mouren-Renouard and Adam Peters, both Group VP overseeing, respectively, EMEA and North America. Adam is on the phone with us from the U.S. In the agenda, our next announcement is on April 28 for our first quarter revenue. Let me now hand you over to Francois.
François Jackow: Thank you, Aude, and good morning to all of you. It is a real pleasure to be with you today for this earnings call. This past year, Air Liquide has reached new heights in both operational excellence and financial performance. The inherent strength of our operating model, coupled with the transformation momentum driven by our teams, has delivered robust performance across all key metrics. This is particularly significant, given the ongoing macroeconomic and geopolitical headwinds. Let's look at the specifics. Sales grew plus 2% on a comparable basis. This proves our ability to capture growth even in a complex environment. Our focus on operating discipline is delivering clear results. It reflects more and more the visible contribution of the transformation momentum throughout the organization. We achieved a record Gas & Services OI margin improvement of 130 basis points, excluding energy pass-through. At the group level, the 100 basis point improvement keeps us firmly on track to meet our 2026 commitment of plus 460 basis points in 5 years. This operational leverage translated directly to the bottom line with recurring net profit growing by plus 10%, excluding currency impact. Our recurring ROCE continues to rise above 11%. Sustaining this momentum while simultaneously scaling up our investments is a testament to our disciplined capital allocation and, of course, improve performance. Our ability to generate cash has again improved. Cash flow is growing at plus 8%, excluding currency impact, providing us with significant strategic flexibility. Our performance is equally strong on extra financial fronts. We achieved record safety levels. We also further decoupled growth from carbon with CO2 emissions now 13% below our 2020 baseline, and the carbon intensity had been reduced by 46% in 10 years. Finally, our investment backlog remained at a record high of nearly EUR 5 billion in spite of the exit of the ExxonMobil Baytown project. This is more than 15% above last year. These are committed, signed projects already under construction effectively locking in our future growth. Our investment portfolio of 12 months opportunities is also at a record high level of EUR 4.6 billion. As these results demonstrate, Air Liquide is steadfast not only in delivering profitable growth regardless of the macroeconomic conditions, but also preparing for the next phase of growth. This is a structural strength of the group. 2025 marks the end of the 4-year strategic ADVANCE plan. You see on Slide 4 that we have successfully delivered on all 3 objectives of our ADVANCE strategic plan: Growth, first, with over 6% average annual sales growth on a comparable basis versus 2021, we have exceeded our midterm ambitions. Returns, our recurring ROCE has remained consistently above 10% since 2022, hitting this target a full year ahead of schedule. Decarbonization. Finally, with 3 consecutive years of absolute CO2 emissions reduction, our emissions are now 13% below 2020 level. We have officially reached the inflection point we projected for 2025. In summary, the ADVANCE plan has met its objective across all horizons. In the current supply environment, this track record demonstrates our ability to deliver consistent results. It is the foundation upon which we build our next chapter with confidence. On Slide 5, you see one of the reasons to be confident. The acceleration in margin improvement you see here is a direct result of our evolving culture of operational excellence. Looking at the graph, the progression is clear. We shifted gears during 2017, 2021 period, stepping up our performance to plus 240 basis points versus 50 basis points in the previous 5 years. Under the ADVANCE plan, we have accelerated once again. With a national 100 basis points delivered in 2025, we are now fully on track to reach our record-high target of plus 460 basis points by the end of 2026. This momentum proves our ability to structurally enhance our profitability year after year. And there is more to come. And the reason why there is more to come is that our margin expansion is underpinned by the structural transformation program we launched in mid-2024. In 2025, we shift from design to full-scale execution, leveraging data and AI to drive structural efficiency. Here are some examples across each of our 4 pillars. First, streamlining the organization. We have simplified our structure, reducing by up to 3 management layers. In the past 18 months, we have reduced our global headcount by 5%. This is without taking into account the new restructuring projects announced in 17 European countries this past December. This will secure midterm synergies as they are fully implemented. Second, industrial excellence. Our new performance management system is now 100% deployed, creating a unified global standard for operation benchmarking. It is designed to continuously boost our performance across more than 400 industrial sites and covering the full value chain. Another example is our end-to-end optimization for liquid gases, which is already rolled out at 45%, significantly reducing our industrial and supply chain costs. Third, Global Business Services, GBS. We have eliminated subcritical smaller GBS and expanded our reach with a fourth state-of-the-art GBS center located in India. GBS headcount has grown by plus 35% as we migrate tax from local operations to specialized hubs. We have now secured 25% of our targeted savings from this initiative. As you see, there is more to come. Finally, commercial initiatives to transform customer care to AI-driven automation. Five major projects are now in the rollout phase, including the AI powered streamline processing of over 17,000 daily customer e-mails and orders in Europe and in the U.S. This transformation program is still in its early stages but the momentum is clear. Leveraging our customer-centric and employee engagement culture, we are building a leaner more disciplined, more standardized, more data-driven and more agile Air Liquide. On Slide 7, as a matter of fact, I want to highlight the strength of our human and social commitments, which are foundations of our long-term success. Safety excellence. We achieved the lowest lost time accident frequency rate in our history. It represents a 60% reduction over just 2 years. Why? I am personally proud of this progress by our teams. Safety remains an absolute priority. And our ambition remains unchanged, 0 accident. Social impact. Under the ADVANCE plan, we have reached several milestones in our social commitment. We have significantly increased the representation of women in management, leading the industry by example. I am also pleased to announce the full deployment of our common social care coverage across every country where we operate. Finally, community engagement. We have successfully scaled our global program to support local communities, ensuring our growth, create a positive impact wherever we are present. These achievements are the tangible evidence of Air Liquide's commitment to combining financial performance with a positive impact. All-weather growth is a unique strength of Air Liquide. Moving to Slide 8. We have clear evidence of our 4 growth engines in action delivering both immediate and long-term value. First, asset optimization. We continue to unlock low CapEx growth by leveraging our existing pipeline networks and infrastructure. This allows us to secure new sales with minimal investment. Then core business leadership. Our technological edge remains a major differentiator. As such, in 2025, we secured several long-term contracts in electronics across Asia and the U.S., alongside a landmark project in Europe. Then, energy and industry transition. The industry transformation, which implies carbon reduction, but also electrification and automation is ongoing. It is a long-term trend shaping the manufacturing industry for years to come. Here, we are solidifying our leading position in many ways being at the forefront of our customers' needs. Key milestone this year includes the signing of second 200 megawatt electrolyzer in Europe and the electrification of 2 air separation units in China. Then, of course, strategic acquisitions. Beyond the targeted 13 bolt-ons to increase local density, we reached a major milestone in 2025 with the acquisition of DIG Airgas in South Korea. This is highly strategic, providing us with a leading position in the world's first largest industrial gas market, a market expected to double over the next decade. In summary, while the first 3 engines fueled our growth by EUR 5 billion of investment backlog, the addition of the DIG acquisition and our bolt-on strategy brings our total capital deployment to nearly EUR 8 billion. Every euro of this is dedicated to securing future growth with return on investment remaining our absolute priority. Turning to Slide 9. Let's look at the exceptional positive momentum in our Electronics business. This is a key structural growth driver where Air Liquide is uniquely positioned. Over the past 24 months, we have converted demand into a record of EUR 1 billion in CapEx through new projects signed worldwide, accretive on margin. But the pipeline ahead is even more significant. We are currently tracking EUR 2 billion in active opportunities targeted for signature in the upcoming year. To give you a sense of scale, Electronics now accounts for over 40% of our 12-month investment opportunities, with a heavy concentration in the high-growth markets of Asia and the U.S. These recent wins powered by our leading-edge technologies do more than just grow the business. They firmly reinforce our position as the global #1 in electronics. On Slide 10, we are committed to converting this increased performance and growth pipeline into value for our shareholders. These are not just words. Supported by our Board of Directors, we will propose to increase the dividend to EUR 3.70 per share at the next general assembly. This represents a significant increase of 12% compared to last year. It continues our long-term track record of almost 8% average annual growth in dividend per share over the last 20 years with a clear acceleration over the past 3 years, reaching almost a 40% increase. In addition, the Board has decided to propose to proceed with a 1-for-10 free share attribution in June 2026, subject to the authorization of course, of the next general assembly. These new shares will be eligible for dividends starting in 2027 further compounding shareholders' return. This balanced approach has delivered an average total shareholder return of 11% per year over the last 2 decades. Our original model and our focus on performance continue to turn operational success into sustainable return for shareholders. Turning to Slide 11. Let's review our outlook. On the left, you will find our formal guidance for 2026, which remained centered on our commitment to performance. For 2026, we reiterate our objective of delivering an additional plus 100 basis points of margin improvement. In addition, to provide you with greater visibility into our long-term trajectory, we have decided to further raise and extend our margin ambition. This extension through 2027 implies an additional 100 basis points of improvement for the 2027 fiscal year. With this, we are now increasing our total target to 560 basis points over a 6-year period. By expanding our ambition today, we are demonstrating our strong confidence in our ability to drive further performance. This is a clear commitment to delivering sustainable, long-term profitable growth and value for our stakeholders. We look forward to hosting a Capital Markets Day in the second half of this year, where we will outline our strategic road map and long-term financial ambitions. Thank you very much for your attention. I now ask Jerome to drive you through the details of our financial performance. Jerome?
Jérôme Pelletan: Thank you, Francois, and good morning, everyone. I will now review our numbers in more detail. So coming back to the full year now on Page 13, group sales delivered sustained resilient growth in a still uncertain environment. Energy pass-through turned into a slight tailwind, and there was no significant scope effect in 2025. DIG being closed in January 2026. So overall Gas & Services sales achieved a plus 2% comparable increase as did our newly consolidated Engineering and Technologies activity. Thus, overall group sales were also up plus 2% on a comp basis for the year with a slight uptick for Q4 at plus 2.5%. So zooming into Q4 2025 on Slide 14, all business lines as well as all geographies delivered sales growth. Let us now review the Q4 activity for each of main geographies. I am now on Page 15. So sales in the Americas remained strong, up plus 5% on a comp basis. Large industry were strong and benefited from additional hydrogen volumes in the U.S. as well as solid Airgas and Cogen. In Merchant, sales were driven by an improved pricing effect of plus 2%, supported by active pricing management at Airgas. Volumes were resilient with regards to gases, while hardgoods remained soft. Growth in Healthcare was very strong driven by sustained high pricing in the U.S., including U.S. proximity care and our intel core -- Intelli-OX service cylinder development. Growth was further supported by the increase of home health care patients in LatAm, together with solid pricing. Finally, in Electronics, the very strong growth in carrier gases for new project start-ups and ramp-up was offset by high 2024 base in equipment and installation. Overall sales in EMEA were up plus 1% with continued very solid growth in Healthcare. Large Industry was flat. Solid airgases in Italy and South Africa and a favorable mirror effect on the customer turnaround in Q4 '24 in Saudi Arabia offset low hydrogen and Cogen sales, especially in Benelux. In Merchant underlying sales were resilient, excluding transfer activity from GM&T. Pricing was positive at plus 0.8% despite the impact of the indexation on decreasing energy prices in bulk contracts and low pricing in Helium. Finally, Healthcare growth was robust at plus 4.3%. Sales have been supported by strong home health care activity, notably in diabetes, community care in Germany and sleep apnea. Mix Asia posted positive growth in Q4. In Large Industry, low demand offset positive contribution from start-up and ramp-up in China and Korea. Sales in Merchant were flat. China posted growth despite helium headwinds. Sales in the Rest of Asia were somewhat mixed, but mostly low. Electronic sales improved by plus 5%. Growth in carrier airgas came mainly from start-up and ramp-up, in particular, in Taiwan and strong growth in materials were only partly offset by the equipment and installation comparison to a very high level in 2024. I will now comment on our Q4 activity by business line on Page 16. In Merchant, we saw increased pricing at plus 3.2% in Q4. So overall volume were resilient in a subdued industrial environment. Large Industry benefited from start-up contribution, mainly in Americas and Asia and from a solid base activity in the Americas. EMEA and Asia saw overall low demand. Page 17 now. There was a strong underlying momentum in Electronics at plus 6%, excluding E&I. Sales benefiting from a strong contribution from carrier gas, mainly start-up and ramp-up, in particular, in Taiwan and in the U.S. as well as solid materials performance in Korea and Taiwan. This growth was tempered as E&I sales normalized following a record year in 2024. Finally, in Healthcare, we pursue strong trends despite a high comparable in Q4 '24. Home Healthcare was again robust, supported by diabetes, sleep apnea and community care. In medical gases, sales growth was strong with steady pricing addressing inflation, especially in the Americas. On Page 18 now, as Francois mentioned, the success of our structural transformation program has been again demonstrated by our improved operating margin. Results were even more impressive regarding Gas & Services OIR margin, which improved by plus 130 bps. Getting into the detail, purchase were down minus 3.6%, though stable, excluding the currency impact and the reclassification effect and the increase in energy price, particularly natural gas was offset by the decrease in purchase of material and equipment due to a decline in sales and goods. Personnel expense were down minus 1.5% and showed a limited increase of plus 1.5%, excluding the currency impact in an inflationary environment that benefited from the reduction in headcount of around minus 5% since the beginning of 2024, supported by the rationalization plans across all geographies. Depreciation is aligned with the level of start-up and ramp-up. This has resulted in group operating margin improvement at plus 100 bps, excluding the impact of the energy pass-through. On Page 19, now this margin improvement was supported by a structured execution plan based on the 3 pillars. First, Industrial Merchant pricing remains solid with adapting to inflationary pressure and amid pressure in the Americas and to lower energy cost in Europe. We have and we will continue to focus on price management above the cost curve. We have also executed a record level of efficiencies, delivering EUR 631 million in 2025, which is significantly above our yearly advanced objective of EUR 400 million. Thirdly, we're active in portfolio management. We closed indeed 13 acquisitions in 2025 and executed 3 divestitures with a continued focus on strategic, profitable and margin accretive opportunities. Let us now review quickly the bottom of the P&L. I'm now on Page 20. Operating income ratio increased plus 3.5% as published. Excluding the currency impact, it goes by plus 7.7%, which is significantly higher than comparable sales growth, highlighting the strong leverage effect. Nonrecurring operating income and expense account for EUR 300 million, including restructuring costs for approximately EUR 200 million with the main parts in Europe. Net financial costs were down slightly with a decrease in average debt outstanding and in factoring. The cost of debt now stands at 3.3%, slightly down from 3.4% in 2024. The income tax rate was at 25.2% and compared with 24% in 2024, impacted by an exceptional stock tax surcharge in France in 2025. Net profit growth was up 6.4% and recurring net profit, excluding FX, increased significantly by around plus 10%. I am now on Page 21. We generated a record EUR 6.8 billion in cash in 2025. As you can see, our strong cash flow finance increased CapEx at EUR 4.1 billion gross value or EUR 3.7 billion net of asset divestiture as well as EUR 1.9 billion in dividends, which represents another record level for us. We are also able to reduce net debt, while net debt-to-equity ratio stood at 31.2%, highlighting the strength of the cash flow. Keep in mind now that this ratio will increase by more than 10 percentage points with the DIG acquisition, which closed early 2026. On Page 22, you can see that recurring ROCE continues to ramp up well above our 10% advanced objective and this despite continued large investments to fuel our long-term growth. On Page 23, although the DIG acquisition closed in January '26, in order to give you a complete picture with regards to the full project development, I will present the 12 months portfolio of opportunities and backlog, including the opportunities and site projects acquired with DIG Airgas. So industry and financial decision for the year remain at a high level of EUR 4.2 billion. Strategic financial decision of DIG Airgas will appear with our Q1 2026 decisions. Our investment backlog now remains very strong at EUR 4.9 billion, which is now the fourth year in a row above EUR 4 billion. The backlog is very much and well diversified, including more than 70 projects across all geographies with approximately 40% of the backlog now being dedicated to electronics projects. Finally, our 12-month portfolio opportunities at a record high, EUR 4.6 billion. The removal of the Exxon Baytown project is now compensated by the entry of new projects in Electronics and Large Industry as well as opportunities from DIG Airgas. The current 12 months portfolio now consists of more than 40% project in Electronics. And bear in mind that the portfolio beyond 12 months remains dynamic and totals above EUR 10 billion. On Page 24, as mentioned by Francois for 2026, we're strongly aligned with our ambition to improve operating margin by plus 100 bps and confident in our ability to deliver recurring net profit growth at constant exchange rates. We now commit to a further expansion for OIR margin improvement in 2027 to reach plus 560 bps of cumulative improvement over 6 years 2022-2027. Thank you for your attention. Back to you, Francois.
François Jackow: Thank you very much, Jerome. I believe we can start the Q&A.
Operator: [Operator Instructions] The question comes from the line of Alejandro Vigil from Santander.
Alejandro Vigil: Congratulations for the '25 results. The first question is about the organic growth. In the fourth quarter, we saw some acceleration of 2.5% from the previous quarter. How you are starting this beginning of the year? If you can give us some indication of the level of activity in the beginning of the first quarter? And the second question is about the remuneration, there's a whole distribution. You increased double digit the dividends for '26. My question is about your considerations or your thoughts about the buybacks. At the end of the day, the level of leverage is still low. Looking at the opportunities, probably you have room to fund these acquisitions through the balance sheet. If you can elaborate on why to increase double-digit dividends instead of considering buybacks instead?
François Jackow: Thank you very much for all the questions. I will take the first one and Jerome will comment on the second point. So indeed, I mean, we have seen a pickup in the activity at the end of the year. This being said, I think in the current environment, we believe that we will be probably, and that's the main assumption, in the same kind of trend for 2026. So this time probably a soft growth. But if we just look back a little bit, we tend to see a more positive sign that could definitely, I mean, give us some uptick during the year, maybe not in Q1, but as we go during the year. What are those? I mean, clearly, we mentioned electronics. And you remember that there has been a very strong comparison effect where the activity of E&I was extremely strong in 2024. So you have not seen the underlying trend. But clearly, we see the volume and the carrier gas contribution clearly picking up. We start also to see, I mean, some signals in some subsegments in the U.S. industrial activity. So again, we have to be cautious, but those could be positive signals coming later on during the year. Even in Europe, and maybe Emilie will have the opportunity to talk more about that later on, we clearly, I mean, see that some sectors like chemicals are still in the middle of difficult time with some restructuring. But in the past few weeks, we have heard positive news regarding the steel industry, especially with new announcements for new plants, but also the start of some of the production lines. So I think all those could definitely contribute. Again, our best assumption for our financial projection is that it will be basically the same kind of trend for 2026 as what we have seen for 2025. And we do consider that anything better than that would be an upside for us. And regardless of the environment, of course, we are absolutely committed to deliver the margin improvement. And finally, on the outlook and the momentum, I think we have to keep in mind that we have a super high level of business development activity. We mentioned electronics, we mentioned also a large industry. We start to see, I mean, project popping up in the U.S., which is probably the effect of the reshoring. So all this should be good opportunities and potentially also further M&As of different sizes. So this is the outlook for 2026. Again, confident in our ability to continue to deliver the improved performance, I would say, regardless of the environment. Jerome, do you want to talk about the increased dividend and our thinking behind that?
Jérôme Pelletan: Yes. Thank you very much for your question. So you're right to point that plus 12% increase of dividend is a very good and a strong sign of confidence, and that's really the state of mind that we are today. We have also to bear in mind that when you come back to the different I would say, parameters, we can see that we have delivered nearly EUR 7 billion of cash flow. So this is strong. And the level of gearing today is quite low at slightly above 31%. So we have the means to distribute, and that's why we have decided, which is very much the result of our, I would say, improvement of our performance trend and the overall performance over the last year. So that's why we have decided. And you know this is also a sign that Individual shareholders like as well. But to come back on your second question, our policy has always been very clear. Given this very strong cash flow improvement in the last years, our order of, I would say, allocation is first, and we want to continue to finance the CapEx and that's important because that's where when we earn projects, we want also to allocate on that. The second point is M&A and significant M&A and that's why we have also the means to accelerate and to acquire DIG at the beginning of the year. And the last thing is on distribution on dividends, which again is a very strong one. So as it related to buyback, no, our current status is very clear. There is no taboo, okay? And this is something that we are looking. We basically continue to monitor the performance on the cash. And we have no specific announcement to make today, but we are looking at all options.
Operator: Now we're going to take our next question. And it comes line of John Campbell from Bank of America.
John Campbell: I will ask 2, if possible. So coming back to one of the points you made. You talked about potential positive signals in the U.S. in terms of activity. Can you perhaps elaborate on what those potential signals are? And maybe to give you an example, your U.S. peer recently discussed they see packaged gas volumes as a leading indicator of activity. Do you agree with that assessment? And perhaps how are those activity levels trending? That's my first question. The second question, I noticed there was a big meeting in Antwerp, I think it was last week, to discuss economic competitiveness in the EU, and they have been caused to review the CO2 emissions levy that is placed on industry. Maybe perhaps in light of this, how do you see the level of engagement with potential customers, particularly in Europe when around the energy transition? And perhaps you mentioned that electronics is a large opportunity. Would you say that sort of electronics potential orders can match the scale of potential previous hopes for energy transition projects?
François Jackow: Thank you very much, John. I will ask Adam who is in the U.S. to comment on the merchant, but also the large industry and the electronics business probably. And Emilie will talk about the CO2 situation in Europe and how we see this. Adam?
Adam Peters: Yes, absolutely. Thanks, Francois. Thank you, John. So if I look at activity levels in the U.S. and kind of building off of some of Francois's previous points about what we see, we definitely see some positive signals. So if I go kind of sector by sector and take the merchant business, we continue to see resilient gas volumes and we see in the merchant business where it's buoyed by the pricing effect that we have. We also see on the hard goods side, some potential tailwinds coming in 2026 around sectors like defense, for example, like space and the like. So we see activity coming in various areas. We're still a bit cautious in that regard because, obviously, this depends heavily on certainty around tariffs and certainty around interest rates and the like. But overall, when we look forward, we see positive signals. I would say on the really positive side, what we see is, a strong shift towards more traditional investment opportunities in business development. So when we look at business development, we can probably talk a little bit about this later, we see a shift from energy transition more towards the examples that Francois mentioned earlier around core investments and existing assets, where we see a lot of interest from clients and a continued very strong business development effort on the electronics side and in large industries going forward. So I would say we have definitely not seen a slowdown in the activity for business development. The customer engagement remains very high. And I'm quite optimistic about 2026. And I think this feeds into the backlog comments that Francois and Jerome talked about earlier and also the portfolio that we see.
François Jackow: Thank you very much, Adam. I cannot resist, I mean, to build up on what you mentioned about the space because there has been a lot of discussion recently about the opportunities in the space area. And indeed, we are very excited and positive on this because we are today in the space business, and we are probably the only player with covering the full chain from the oxygen-hydrogen supply, but also, I mean, krypton, xenon for satellite and all the technology from the launcher to the satellite. So as you may know, I mean, we have a strong position in Europe and also a presence in the U.S. In the U.S. alone, we have more than 180 customers in the space ecosystem. So we see the momentum, clearly, and we benefit from this. And there are indeed a lot of opportunities. What we have to keep in mind, and I don't want to pull down, I mean, the excitement about this new opportunity is that some of the bigger opportunity may end up actually being a sale of equipment. So it's not, at this stage, traditional over-the-fence business. So there again, I mean, we are very well positioned. But let's not -- I mean, it's not necessarily comparable with the rest of the large industry or the electronics business. It may be a onetime sale of equipment for some of those projects. But again, very well positioned and ready to take the opportunities as we have done in the past years and months. I turn over to another area, Emilie. Do you want to speak a little bit about Q2 and Europe and what we hear and see from customers?
Emilie Mouren-Renouard: Absolutely. Thank you, Francois, and good morning, everyone. So yes, we followed this Antwerp meeting last week carefully, and we were actually present in Antwerp. The chemical industry really did some strong speeches about competitiveness of the European industry and also on ETS, the CO2 tax Europe. So that created a bit of confusion. Just to remind everyone, a revision of the ETS was anyway due and flat for the second half of this year. So this is not new. But of course, the ETS price is impacting some of our customers positively or negatively. For us also, I want to remind everyone, our own emissions are subject to ETFs that are covered by our long-term contracts and the cost of the ETF is passed through to our customers the same way energy is. So definitely, chemical industry is suffering right now from structural competitiveness gap, like was said last week in Antwerp. But there are also positive signs in Europe. Francois mentioned one on steel industry. So on the steel industry, we see positive signs of picking up volumes picking up in January, in particular, more than we had seen in the overall 2025 year. This is helped by quotas and limiting imports to Europe and of course, the CBAM as well. We also see some positive signs in Germany, so not necessarily on the chemical industry, but in Germany overall with a bit more volumes and also a bit better business mood. Remember, we are very committed to Germany. We've announced investment of a large basin in electronics last year in Dresden. So this is positive. And overall, we continue to have a strong backlog of projects in Europe as well. So we'll continue to work with the European Union, with governments to improve the competitiveness of the industry in Europe, but there are also positive signs that I just mentioned.
François Jackow: Thank you very much, Emilie. I think, John, you had kind of also a side question, which was the share of electronics versus energy transition. I think with what was mentioned by Emilie and also what we see in other regions like China, the energy transition is still alive. So there is still a pipeline of projects, a very robust project. Again, it's a long-term trend. So it's not by any means disappearing, and we are very well positioned there again. What we see, and that was your point, clearly, is the pickup in the electronics projects driven by the AI and the rate for capacity in chips, but also in memory. And this is clearly accelerating in the past few weeks even and the need for sovereignty. That's why, I mean, we see most of the major region of the world, a very, very strong momentum. As of today, there is 40% of our backlog, which is the electronics projects. So you see there is a shift. They are gaining importance. We do expect this to continue to grow. This being said, again, there are some energy transition projects that remain. So I think the takeaway probably from this is to have in mind that in the current time, having a very diversified portfolio and being able in terms of footprint and segment to be agile and to capture the opportunities wherever they are is really a differentiating factor and as of now, leveraging our #1 position in electronics is clearly the strength.
Operator: And the question comes line of Tony Jones from Rothschild & Co. There is no answer from Tony Jones' line, and we're going to the next question. And the question comes from the line of Alex Sloane from Barclays.
Alexander Sloane: Two for me, please. The first one, just on Baytown. I mean you've been clear, that's contractually protected, no financial impact. But stepping back, do you see any broader risk of customer-led causes or deferrals across decarbonization projects in your backlog or opportunity pipeline? And what are you seeing in terms of customer decision cycles? And is your '26, '27 margin trajectory, assuming any change in conversion rates? That would be the first one. And secondly, on electronics. Clearly, up to 40% now of the backlog and opportunity pipeline driving outsized growth. Can you comment on whether we should expect any material mix effect on margins from the outsized growth of this segment over the next 2 years? Are you seeing any change in the competitive dynamics in this segment as clearly it's driving most of the opportunity at the moment?
François Jackow: Alex, thank you very much. So briefly on the first one, no, we don't see projects which are at risk today in the portfolio, in the backlog. Again, I mean, all the projects have secure contracts, secure customer, secure fundings when they are registered in the backlog. You remember, we have been extremely prudent in the way we were accounting for the Exxon project. So there may be projects, which appear or disappear in the portfolio, but not in the backlog, so no incidents on our financial performance for 2026 and 2027. On the second one, on the electronics, what we see are mostly carrier gas projects, which today represent 50% of the electronics business activities. So you see gradually, it's moving. And those projects in terms of margin should be accretive because in some of those projects, the energy is included. But in others, the energy is not included. So the margin ratio is higher. So when they will come on line and keep in mind that those project takes 2, 3 years to build, yes, they will have a positive margin contribution. At the end of the day, what is very important for us is the return on the capital employed, and that's how we are making a decision. Yes, it's a competitive area. Many people are fighting for those projects. The good news is that given the volume of the projects, we can be selective and we are selective and we choose the battle basically where we have a competitive advantage and we can really create value for our customers. And when you look at 2025, we get more than our share of the new projects, and we are committed to continue in that way.
Operator: And the question comes from line of Martin Roediger from Kepler Cheuvreaux.
Martin Roediger: Thanks for taking my 2 questions, please. First, on energy supply. In case several energy suppliers within the European Union have a problem in providing you with energy, to which extent are you protected against that shortfall in energy supply? How is the compensation scheme? Is there any difference in the compensation scheme between the energy resource electricity and the energy resource natural gas? And the second question also related to energy, on energy costs. I recall that a few years ago, you had EUR 3.5 billion energy costs on a global basis. Is that still the case? Is the split in energy still 60% electricity and 40% natural gas? Or did that change? And is that also a good proxy for the individual regions?
François Jackow: Martin, thank you very much for your question. I will ask Emilie who is a specialty of energy in Europe to speak about it. And probably, Jerome, you take the global view on the energy costs. Emilie?
Emilie Mouren-Renouard: Absolutely, thank you. So briefly, of course, energy is a very large part of our cost stack, especially in large industry. So it is important for us. We monitor that quickly on a regular basis, and we are protected by our contract with the pass-through clauses to our customers. And in case to answer more precisely to your question of a problem of energy supply, then it falls under the force majeure type of clauses we have in all our contracts with our customers.
François Jackow: Thank you very much. Jerome?
Jérôme Pelletan: Thank you very much, Martin, for your question. So when you refer to EUR 3.6 billion, it was very much at the time where the impact after the beginning of the war in Ukraine started to have significant high prices on the energy cost and mainly in Europe and mainly on natural gas. So today, I would say that it is coming still above the level of pre-war. But the mix is related to the share between natural gas for hydrogen business, HyCO business, and electricity for other should be relatively close. And those, as said by Emilie, are fully secured and fully pass-through to the customer. So no big change in terms of the weight of those energy or consumed and presented in the cost stack.
Operator: And our next question comes from line of Georgina Fraser from Goldman Sachs.
Georgina Iwamoto: It's one question, but I think it might be 2 or 3 combined. You have this EUR 200 million in onetime costs related to European restructuring measures for 2026. Could you please put some context around this number? What percent of European sales will be impacted? Are there any networking effect implications? And are these measures in line with existing customer plans? Or is Air Liquide moving independently?
François Jackow: Thank you very much, Georgina. So Emilie, do you want to talk a little bit about how you want to transform and to adapt our footprint in Europe and what you have launched?
Emilie Mouren-Renouard: Absolutely. Thank you. So in Europe, we've well embarked on the structural transformation launched at the group level since 2024, so we are adapting our cost structure to the level of activity into the volumes, and we are restructuring. So maybe I'll give you some elements. First, on the organization and processes. So streamlining our organization. That is what we are doing, removing layers of management, simplification of our organization. And for instance, we moved from 4 clusters to 2 in Europe. If I include med gas that we integrated and merged into the merchant activity to create synergies, so we now have all the med gas activities under the same operational and management team as merchants in Europe. So this restructuring effort is taking place in all parts of Europe. The idea, like I said, is really to adapt the cost structure to the activities, moving some tasks to the GBS as well. This is an important part of our transformation and also really restructuring to be prepared for the long term to be more profitable over the long term. So this is structural. We're also streamlining our processes and tools, having the same way of doing things across Europe, one single state-of-the-art ERP across Europe. And finally, also using more and more AI to automate, to optimize our operations in all domains, customer care, call centers, in sales, in safety, in industrial part of the activity.
François Jackow: Thank you very much. So that's for Europe, which is the bulk of the EUR 200 million. I mean I think this is 70% of that. There are other things which are similar in other parts of the world. What is absolutely key is that in this world, which is transforming, we want to anticipate. So part of it is to adapt the footprint, and that's what Emilie has mentioned. And we want to do that with courage, with determination in a respectful manner for our employees and for our customers because those are the values of Air Liquide, but we have to do it, and we have started and already done that in several cases, and we will continue to do that. At the same time, and that's the positive news, we continue to invest in leading segment and to support and to drive this transformation, as we mentioned before. And as a matter of fact, in the past 3 years, we have invested more than EUR 3 billion in Europe, showing that we are positioning ourselves to be able to be a key partner and key supplier for the transformed Europe industry that is being built. So thank you very much, Georgina, and good to hear you. Next question, please.
Operator: And the question comes from line of Chetan Udeshi from JPMorgan.
Chetan Udeshi: The first question, I was just -- sorry my first question is on your investment opportunities and backlog. I think you have included the part from DIG now in those numbers. And I was just trying to see the underlying shift if I remove DIG. And it seems for the first time, maybe in many quarters, sequentially, the backlog and investment opportunities are actually down versus Q3. And I'm just curious, is this all because of the removal of the Exxon project? Or do you actually see that the incremental opportunities are probably slowing? And just second associated question. You got this compensation from Exxon project in 2025 because it's been terminated. Did this have a positive impact on your second half margins? Because I see there's a big jump in the other income in the second half of '25, and I'm assuming almost all of that is associated with this project. If that's the case, if you can quantify? And last question, simple. I don't see any guidance on start-up revenue this time. So maybe if you can just help us what do you think we should have in mind?
François Jackow: Thank you very much, Chetan. Thank you for your questions. I think Jerome will be pleased to answer the 3 questions. I may complement if needed, but go ahead, Jerome. The first one on the DIG and the contribution of DIG and the backlog.
Jérôme Pelletan: So it's very simple. When you took the backlog of EUR 4.9 billion today, you have about EUR 200 million of backlog coming from DIG, okay? So EUR 4.7 billion plus EUR 0.2 billion. And you recall, Chetan, it's very much aligned with what we said last time during the call when we made the announcement of DIG, that there was some CapEx underlying. So that's very much aligned which is showing that basically a very good trend on this opportunity. On the portfolio of opportunities, you have a total of EUR 4.6 billion, a record. And that does include about EUR 800 million of DIG. So I hope it's quite clear.
François Jackow: And just Chetan, on this one, on the backlog from one quarter to another one, in my point of view, there is no worries. Basically, this is a normal life of a pipeline of the project. You have the projects which are exiting because the projects are starting up. So it's normal that depending on the timing, they go up and down. So the general trend is a very solid backlog, which is continuing to increase. If you look at a year-to-year basis, it's plus 15%, as I mentioned. So from that point of view, absolutely no worries. Exxon contribution for the year?
Jérôme Pelletan: So I hear what you said. So basically, it's neutral on margin because the compensation we had from the customer as basically covering our consolidation costs and so on. So that's basically neutral on margin for 2025. That's what you have to bear in mind. You have also to bear in mind that we have no financial exposure on that, that's basically it, okay? And your last question, start-up guidance for 2026. So we have not disclosed this contribution for 2026 for a few reasons, Chetan. First, Francois explained that many times, there is shift today in contract structure. The fact that we have some energy transition projects, which have increased, which are going more and more into a tolling style contract, basically is polluting the fact on this contribution. So that's the very first point. The second point is, as you know, there is geographical energy volatility, and disparity in energy pricing. So basically, as we are showing this number with energy contribution, it's create artificial difference in sales contribution from the same level of CapEx, which gives difficulty to estimate future sales contribution, the second reason.
François Jackow: And the last reason, by the way, if I may, Chetan, none of our competitors currently disclose its contribution from start-up and ramp-up. So all these different elements make us the conclusion that it was not super relevant at this stage. We are looking potentially as other indicator review. We see maybe on EBIT level and so on, but it's a bit early to say. But the main reason, clearly, Chetan is that it's becoming a proxy, which is less relevant to predict the growth overall for the reason mentioned by Jerome, but you mentioned energy transition. But as a matter of fact, it will be the same with the electronics project because some of the current sales, it has energy included, others do not. So again, the traditional way of looking and predicting the sales with the amount of investment does not work anymore. We'll try to find a way to help you to do your forecast, but that's why today we are dropping this proxy. All right. Thank you very much. I think we still have time for 1 or 2 questions. We have many more questions. So go ahead.
Operator: Now we're going to take our next question. And it comes from Jean-Luc Romain CIC CIB.
Jean-Luc Romain: It relates to the cement industry. When we look at some of your clients or partners in the industry, there are several projects to decarbonize the cement plants And your CryoCap technology is all over the place on their website. Could you give us an idea of what's moving towards a decision? What's still a long way ahead?
François Jackow: Thank you very much, Jean-Luc. Emilie, do you want to speak about this?
Emilie Mouren-Renouard: Jean-Luc, on the cement industry, this is one of our key growth opportunities for the future, like you said, around our CryoCap technology, proprietary, and we are really the leader in the carbon capture technology. So the discussions remain active with our potential customers in the cement industry. They are continuing on their journey, knowing that they have all the commitment towards carbon neutrality by 2050. There's no way they can achieve that without carbon capture. So we continue the discussion with all of them. Of course, it depends now on FID to answer precisely your question. It depends on ETS price, on the regulation subsidies in place, and also on the whole chain, it's not just about the capture, but the capture, the transport and the sequestration that need to also be ready and also missing a few still mechanisms like CCSD to really make it to the final investment decision, that again, momentum is still there with all our cement industry players.
François Jackow: Thank you very much, Emilie. So we'll take 2 quick questions, 2 more questions, please.
Operator: And now we're going to take our next question for today. And the question comes line of Sebastian Bray from Berenberg.
Sebastian Bray: Can I ask about the backlog composition? Because leaving aside the question of how much is electronics and how much is associated with other end markets, have there been any changes relative to what Air Liquide has done historically in terms of contract length and the split between large industries and on-site that include parts of electronics in that and merchant gases. The reason I ask this is that Linde has pretty high backlogs close to record. Their products looks fairly healthy, excluding the new energy parts and Air Liquide is at record levels. And if we hit 2 to 3 years' time and everybody is bringing online new projects, does that pose an issue for merchant pricing, given that a lot of these large on-site projects are going to be adding capacity to merchants?
François Jackow: Well, thank you very much, Sebastian, for your question. So as you know, we are extremely disciplined in the way we are evaluating projects. So every time there is a project, we look at, of course, the merit of, I would say, the anchor customer when it's a large industry or electronics customer. And if there is a potential upside with the merchant, we do consider that after careful consideration of the market potential and the local situation. And what you have to take into account here is clearly that the merchant market is a local market. So it depends on the situation. And with those new investments, you can bring very effective new source of products in regions where we are lacking products, and there are still quite a bit of those globally. So today, I don't see a threat at least from the Air Liquide point of view, I cannot speak for our competitors. But are extremely careful and disciplined in the way we justify new merchant investment. And again, it's based on the local situation. So that's how we are looking at things for the backlog, again, mostly driven for us by large industry and electronics. Thank you very much. Last question, please?
Operator: And now we're going to take our last question for today. And it comes line of James Hooper from Bernstein.
James Hooper: I've got a couple, please. First one is on the 2027 margin target. Great to hear the extension of that target. Are there measures that will deliver this going to be the same as the ones driving 2025 or 2026 or they may be different? And then a second question. I'd like to pick up on some of the -- about lower demand in Asia in large industries. Can you give us an indication of what's happening on the ground in Asia, particularly China? Is there any effect from overcapacity and anti-involution? And also a quick update on the helium market, please?
François Jackow: I will start with the last one maybe on Asia because we didn't talk so much about Asia. Right now, again, we see a clear momentum in electronics across the board, and this is for a new project, but we see also picking up, clearly. So that's a very positive one. When you talk about overcapacity, mostly, it relates to what we have seen in the manufacturing in China. And we see some slowdown or maybe extended turnaround from some of the customer in China. But I would say on average, we are probably less impacted than other players because of the quality of the portfolio of companies we have. We have been extremely discipline in selecting over the years, I mean, the top-tier customers, which are the ones typically who have the best competitive situation. This being said, we do expect a further consolidation in some sectors, which overall should bring benefit to have cleaner, more efficient manufacturing capabilities for China and to export. Regarding the helium situation, again, globally, I mean, we are in a situation where there is low demand compared to the supply for helium. Keep in mind that for Air Liquide, and that's not necessarily the case for all our competitors, helium is only 3% to 4% of sales and 80% of our business is based on long-term contracts, both in electronics, which is still growing and Industrial Merchant. So yes, we are impacted mostly in some regions. China is clearly one market where we see a decreasing volume and decreasing pricing. But overall, our helium business is still strong and well resilient. Regarding the 2027 margin objective, I think really what you need to take out of that is the confidence that we have in our ability to continue to provide margin improvement. And the reason that we are confident it's because this is based on the structural efficiencies, which are the results of the transformation program. If you step back, you have seen that 3 years ago, I mean, a lot of the margin improvement was coming from the pricing. The pricing is still there, and we have really moved up our capabilities to secure pricing whenever it's possible. But with the lowest inflation, the pricing contribution is decreasing everywhere. But what we see is a pickup of the efficiencies, again, almost 30% more this year compared to last year, and we do expect this to continue. As I mentioned today and previously, we are at the beginning of the journey for many of the transformation initiative. So there is more to come in '27, '28 and so on, maybe not always at the same rate, but for 2027, we are very confident with this margin improvement. So thank you very much. This concludes our session. Thank you very much for all your insightful questions for sure. In conclusion, I would like to say that after a strong performance in 2025, Air Liquide entered 2026 with a proven model, record backlog, momentum in transformation and clearly, extended horizon for profitability. And we are all ready to build on this momentum. Thank you very much for your attention. I wish all of you a very good day.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.